Gabrielle Bajarano: I’d like to remind everyone of the Safe Harbor statement referenced in the SEC filings. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor for certain forward-looking statements, including statements made during the course of today’s call. Statements contained herein that are not based upon current or historical facts are forward-looking in nature and constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities and Exchange Act of 1934. Such forward-looking statements reflect the Company’s expectations about its future operating results, performance, and opportunities that involve substantial risks and uncertainties. When used herein, the words anticipate, believe, estimate, upcoming, plan, target, intend and expect and similar expressions as they relate to Vislink Technologies, its subsidiaries or its management are intended to identify such forward-looking statements. These forward-looking statements are based on information currently available to the Company and are subject to a number of risks, uncertainties and other factors that could cause the Company’s actual results, performance prospects and opportunities to differ materially from these expressed in or implied by those forward-looking statements. For a more detailed discussion of some of the ongoing risks and some uncertainties of the Company’s business, please refer to the Company’s various filings with the Securities and Exchange Commission.
Tyler Kern: Hello, everyone, and welcome to the Vislink 2021 Full Year Earnings Call. I’m Tyler Kern, and I will be your moderator here today. It’s a pleasure having all of you along with us. Joining me here today is Mickey Miller, CEO; and Mike Bond, CFO. Gentlemen, welcome.
Mickey Miller: Good morning, and thanks, everyone, for joining us. We’re really happy you’re here with us today in this new format.
Mike Bond: It’s a new format for us. It’s a great way to communicate with our shareholders, and we’re really looking forward to continuing this in the future.
Tyler Kern: Yes. We’re really excited to have you guys here today and to be able to present in this way. We have a lot of exciting things coming up here on the broadcast for everyone. But we know that it’s already been a big 2022 year for Vislink with you guys being involved in some of the biggest events that have happened worldwide, the Olympics, Super Bowl. So, many big things have happened already here in 2022. Before we dive into 2021, guys give us a little bit of an update on what has already been an exciting 2022.
Mickey Miller: For our long-term investors, they know we’ve been in a restructuring from 2020 when we joined the company and we’re so excited that 2021 was all about innovation. We introduced some exciting new products. We’ve got some great products coming up this year that we’re going to talk about. And so, from our customer standpoint, from our markets that we serve, we believe that we have a very fundamental platform where we can have success with both, on innovation and delivering to our customers’ needs.
Mike Bond: Yes. And from a financial side, we’re -- we don’t have COVID to deal with as much as we did last year. So, this first quarter is going to be very different than last first quarter. We feel very confident that we’ll do better than last year in the first quarter. And just operationally, we think we’ve worked out a lot of the kings and bugs that we’ve been encountering over the last two years, and we think we’re well positioned to have a great 2022.
Tyler Kern: Well, we are really excited to talk more about that. But let’s dive into 2021 because I know you guys have a presentation that we’re going to show. And so, let’s run through that and give some people some details.
Mickey Miller: Yes. Again, so many of you know, our mission remains the same, to make the capture and distribution of live video, more immediate, immersive and intelligent. So, we play in two primary markets: sports, news and entertainment, which is about 48% of our market in 2021. On the sports side, as you know, I always say it’s easier to say what sporting events we’re not involved in and the ones we are involved in. Everything from, as Tyler said, the Olympics, the World Cup, the Super Bowl, but also Premier League, there’s a shot of Ronaldo there. News, big opportunity for us. Many of the journalists throughout the world use our products to take their stories and bring them back to the studio for distribution throughout the world. Today, in the Ukraine, journalists are using that as a way to tell their story. And then finally, in entertainment. On the entertainment side, the Grammy, the Emmys, the Oscars. The classic infamous Will Smith slap was due to our capabilities to bring that back to the studio. So, sports news and entertainment has been a stronghold for Vislink for many years. And we’ve introduced products to firm our position there and grow as that demand for content grows. Right now, today, on the Internet, less than 15% of the Internet video is live video, and it’s the fastest-growing sector within the Internet video space. So, we’re excited to introduce products, both our AI-generated products as well as our traditional Vislink products to be able to serve that market. Military government is a big market for us. Last year, it represented 33%. In that market, we basically serve both the Department of Defense and NATO militaries as well as first responders, sheriffs, police departments, fire and rescue. Last year, because of defund the police efforts, a lot of first responder business was down, but it was offset by a large DoD presence. We did a lot of business with the U.S. Army. Again, and this is for communications -- video communication throughout the theater of operation. And then, lastly, satellites is a product line that that transcends both the major markets that we serve as part of our overall portfolio, and we opportunistically go after opportunities in that area.
Mike Bond: I’m going to give you some of the highlights of 2021. So, our revenues increased 48%. We ended the year at $33.9 million, and that’s up from last year of $22 million. Our bookings increased dramatically, up 100%, 107% to be precise. Very exciting. Last year, we came out of COVID slowly from a sales perspective, but actually, we booked more twice as much businesses -- twice as much bookings as we did revenue in the first half of last year, and that trend is continuing. We’re seeing strong bookings throughout. We had two consecutive quarters of cash flow positive. If you take away the one-time items that we experienced that are either noncash or nonrecurring, we had three of those. We had a write-off to goodwill that’s necessitated by accounting policy that says if your market capital goes below your equity value of the Company, you take the difference and to the extent possible, you write that off against your goodwill, and we did that. We also took a charge for the vesting of RSUs and options associated with our long-term employee incentive plan. And we also had a one-time payment of a tail from a contractual obligation related to the MVP acquisition for advisory services. And again, it was a tail -- was a contract that predated Mickey and I coming to the Company. We had $36 million of cash at the end of the quarter, and we might have had even more than that, but we did ship a substantial amount of goods out the door and we had higher than average receivables. And we also did invest in inventory, and we’ll continue to do so. In light of the supply chain issues that everyone is aware of, we are taking steps to build finished product and put it on the shelf. We’re building modules that go into finished products and putting those on the shelf to be prepared to be more responsive to our customer base. And we’re also going out and we’re purchasing and procuring strategic parts and components and putting those on the shelf so we can mitigate some of the supply chain issues. So, we successfully acquired and integrated Mobile Viewpoint this year. If you think about what a successful acquisition is, you typically say it’s people, product, channel and technology, we feel like we got all four of those. Mickey and I are very excited by the prospects of integrating Mobile Viewpoint, not only into our product portfolio, but introducing their products into our channels. We think they have a stellar group of people that we love to work with. And the best part of it is, they’re profitable. And they started -- they were profitable from day one. So, we’ve delivered some really -- as Mickey had mentioned in his preamble, we delivered some really interesting technology to key events around the world. So, we do a substantial amount of business with the Department of Defense. And we did so -- last year, we had a very good year with the Department of Defense and we hope and we will continue to do that. We did deliver technology to the Tokyo Summer Olympics, the Super Bowl. We did a revamp of the Alabama Public Television network that utilized our point-to-point systems. And we also were embedded in the what’s called the Extreme-E Racing Circuit, which is electrified cars that race off-road and travel the world in a new kind of exciting racing circuit. So, those are the highlights of 2021. So, for Q4 -- I’ll run you through a couple of highlights there. For Q4, we had $11 million. That compares to $11 million for the prior quarter. And for the first quarter, we did $4 million. For the second quarter, we did $7 million. So, we’ve substantially picked up the pace as the year progressed. We had 64% growth over our prior year in revenue. We had strong sales in both, Live Production and MilGov, our 2 principal product areas. We did $5.6 million in Live Production and we did $4.5 million in Military Government. Both of those, by the way, are above our Q3 totals. So, we continue to roll out new products with strong related sales. We’re really encouraged by the customer reaction to our new products. Mickey is going to take you through some of those new products in a later slide. We had made strategic inventory investments like I mentioned, and we’ll continue to do that. We do feel the strong effect of headwinds related to supply chain. And Mickey and I have made a decision that where possible, we will go out and aggressively procure and buy inventory such that we don’t -- we can mitigate some of those issues with the supply chain. We integrated Mobile Viewpoint, like I said. We’re very excited by that. Our colleagues in the Netherlands have spanned out across the world with us in both sales, product development, and we’re very excited by the prospect of offering their new technology, which is principally bonded cellular and this new technology around AI. We think that’s really exciting for our customer base and drives a lot of future sales. So, Mickey is going to take you through the highlights of our products.
Mickey Miller: Yes. As Mike said, 23% of our revenue last year was due to new products. Our Quantum receiver, which we announced in March, has been the most successful product launch we’ve had in the history of the Company. It’s an all IP-based native receiver 4K that the industry has been super excited about and has been deployed at many of the events that we’ve talked about. The DVE6100 is a microwave solution for those news gathering operations that we talked about, and that has had success along with our IP Link. Our IP Link allows broadcasters like Alabama Public Television and others to upgrade to an ATS 3.0, which is a new standard for broadcasters to move to the IP world. And then lastly, the BaseLink 5G is our Mobile Viewpoint product that 6 combined modems at 5G that you can bond together have massive capacity and capability. So, all those products were announced last year that we’re having great success with coming into this year and the latter part of last year. We expect this year to have over half of our revenue generated by new products that were either introduced last year or this year. One of the key things we want to do is always stay at the forefront of technology. So, we work together with BT Sport, MotoGP, the University of Strathclyde to create the first ever private 5G network, Live Production at the British Grand Prix of Moto GP at Silverstone. It was an incredible event that we were able to show that 5G does have -- it’s not there yet, but that it does have the capabilities to be able to do both, live production and ultimately someday to be able to get to where we are with our capabilities, where we have four cameras on every bike and ultimately a fifth camera on the driver. We have new products coming this year that we’re very encouraged about. The first is -- one of the things we want to do is to be able to have all our products, whether they’re historically MVP products or Vislink classic products to be able to be operated and managed and interoperable with each other. So we’re taking the Quantum and allowing the Quantum to now accept input from all the Mobile Viewpoint products. So, a customer now has only one receiver to work with as opposed to two independent types of receivers. Also, it’s all managed by our LinkMatrix product, which is a Mobile Viewpoint, OS essentially, that allows our customers to manage their entire network just with one software platform. The Mobile Viewpoint TerraLink encoder is coming out with 4K. Our vPilot, which is a studio AI-generated product, allows you to create a studio situation on the fly. Our IQ Sports Producer, which we’re doing trials around the world with, today, allows you to have high-quality broadcast level sports production without a director or camera folks. And then lastly, our AeroLink. We introduced our AeroLink in March at the helicopter show -- HELI international show, which is the largest heli and drone show in the world, and we had an incredible reception. We have many, many customers that want to have a demonstration of that product to show what it can do. It’s the world’s first ever 4G -- I’m sorry, 5G, COFDM, which is our own proprietary and mesh network. So you have three types of interfaces in one device completely 4K. That’s a super exciting product because it addresses not only first responders and military but also the broadcast customer as well. And then, we have other products that we plan that will be evolved from those products, but we’re super excited about the innovation that our teams, our development teams, our production teams have done over the last year. Mike and I are really pleased with the efforts of all our global employees throughout the world. As he indicated, our Mobile Viewpoint acquisition has been an incredible team that now has worked together with our team to create these products, bring them to market and we continue to do that through our focus on innovation and investing in R&D. Even though overall, as Mike showed, we’re able to bring our cost of operation down, we increased our investment in R&D. It’s important for us to innovate. It is important for us to lead with the latest technologies, and we’re really excited about that.
Mike Bond: So, I’ll take you through some of the 2021 highlights of operations. There’s been a lot of big changes there, and we’re pretty excited by it. We’ve rationalized our product line when Mickey and I first got to the business. We were trying to be all things to all people. We had a massive product line, some of it overlapping due to the fact that we had multiple acquisitions over time, and we had -- they had rationalized the product line. So, we’ve reduced that product line by 58%. And we’ve streamlined it. We’ve simplified it. We’ve gone to a common set of components that makes it easier to manufacture, easier to procure for and just a lot more streamlining in that respect. We’ve established a platform-based technology, like I said, and methodology that helps us in our buying and our procuring. We reduced our worldwide facility footprint substantially. We’ve reduced it by 73%. We had a multitude of offices and facilities, both from an R&D and manufacturing perspective when we first got here. We’ve changed a lot of that. We now center around two main manufacturing facilities, one in the UK and one in the United States, and we do have a branch in Alkmaar, the Netherlands, it also produces the MVP products. But we have -- like I said, we reduced that footprint substantially. And we’ve also reduced our worldwide headcount by about 32%. And we do that, but we think we’ve gotten greater productivity from the team that we have today than we did yesterday, and we’re looking forward to continuing that trend. But we will build back selectively, like Mickey said, we are going to make some selective investments in R&D and potentially in the go-to-market model as well. So, we increased our R&D by 13% year-over-year. So, our productivity increased 59%. That’s just measured simply by revenue over the operations headcount and we feel pretty good about that. We really have streamlined -- a lot of that has come from streamlining the product line and making just those things that we sell and do well. And by virtue of doing that, we’ve reaped some real benefits operationally. So, we still have a relatively complicated supply chain and supply chain situation. As everyone knows, the headwinds are there. It’s more difficult to procure than it ever has been. We’ve taken a couple of steps, like I mentioned, we are going out and procuring more key componentry and putting it on the shelf, and we are making certain of our key products ahead of time and putting those on the shelf so we can be more responsive to customer orders and customer needs. And so, the supply chain environment continues to be a challenge. We deal with it every day. Mickey and I have production calls at least once a week, if not more often. And the biggest issue, the biggest impediment that we deal with in terms of getting our products out on time is, in fact, the supply chain and getting key components in on time. It’s -- it can be one component that can hold you up for an entire production run for one particular item. So, we’re focusing on that. It’s one of the things that we’re going to invest more heavily in to the extent that we can bring in more key components, we can find supply. We’re actually procuring multiples of months, if not a year’s worth of supply.
Mickey Miller: We continue to have strong customer activity. We participate in the Beijing Winter Olympics, the NFL Super Bowl most recently. Mobile World Congress, we worked together with Moto GP to demonstrate our capabilities. And as I mentioned, we introduced AeroLink. One thing that’s interesting, one of the reasons we acquired Mobile Viewpoint is they were very strong technically, but they had a limited sales force. They had very few salespeople. We thought by taking that capability and technology through our sales channels, our 150 global partners that we could do a lot with it. We’ve had over 45 customer demonstrations in Q1, showing both AI and 5G solutions developed by Mobile Viewpoint. And demonstrations are what get customers interested to give us purchase orders to acquire themselves. So, that’s a great trend for us. And then, of course, we’re preparing for the World Cup coming up this year in Qatar. Growth opportunities. Number one, we see a growing demand, although the broadcast world is consolidated. We see an opportunity at Tier 2, Tier 3 events for our AI products because it allows them to produce them at a much lower cost and bring those to market. And then, we see opportunities in our traditional live production market. So, for instance, when you look at the world today, U.S. came back strong. So, we had over 200% in bookings last year. Middle East is a growth market for us. We’re seeing great opportunity there. Europe still with COVID is coming out of COVID, we’ve seen about 30% growth in our orders, but in Asia, things are flat to down because of COVID. And so, we still see that market as a great opportunity to come back along with Europe in our traditional live production Tier 1 market. The big opportunity we see that we’re working through, it’s an emerging opportunity for us is taking our capture capability, our delivery capability and our AI to reconnaissance and surveillance. We live in a world of uncertainty. And in that type of world, having the capability to bring video, which essentially is data to command to be able to make decisions on how to utilize best your assets in the field is super important for the military and for first responders. And we see a great opportunity to bring this technology combined with our existing portfolio to be able to produce solutions that meet those needs. So, new products and innovation are what will drive our growth. We’re very close to our customers to understand their problems. What we go, we go to them and say, tell us your biggest problems. We have the technology and capability to solve them. Now, I think we’re going to go to a Q&A session.
A - Tyler Kern: Yes. Now this is the portion of the show. We’re going to be taking Q&A. So, if you have any questions for our experts here for Mickey and Mike, feel free to put it in the chat. We’ve already seen a lot of questions rolling through. Some of you have some excellent questions here. And we’re going to start off with a question from Keith. Now, this kind of hits at what you were wrapping up there with, Mickey, just a moment ago. But he asked, does it look like the Company may be coming out of the COVID restriction issues that it has experienced over the last two years. Obviously, COVID is still a massive topic of conversation. Touch on what you’re seeing right now as we kind of exit hopefully, the COVID year. So, a good question from Keith.
Mickey Miller: Yes. I think from the beginning of COVID, we’ve approached it as something -- as something we have to live with. So, our operating teams have been operating in the factories from the early days, and we’ll continue to do that. From an employee, we were still optional work from home. We do have a lot of our engineering teams that need to collaborate or any teams that need to collaborate. As that translates to customers, we do see -- certainly here in the U.S., things have come back strong with live events. We’re seeing that to some degree in Europe and ultimately, we see in a large degree in the Middle East. As I mentioned, Asia is really tough still. Depending on the country and where they are, the ability for large live events is still limited. So, I think that’s a growth opportunity when that comes around. But we think with what’s happening in the areas that we’re serving that there’s plenty of opportunity for 2022.
Mike Bond: And I’ll just add that we took some pretty extreme measures to keep ourselves insulated from the pandemic. As Mickey said, we -- I think we did a pretty good job of that. And I don’t think we lost a single day of production due to COVID, which is nice. And the kind of the spin-off of that or the full out is also that our workforce kind of went home and worked remotely. And the interesting thing now is people have gotten used to it. They’re excited by it. They like it. So, we’re allowing most of our workforce to stay dispersed if they’d like to do so. So, that gives us the opportunity to cut our footprint, our real estate footprint even further, which we’ve started to do and started to look at, and it gives us more options in terms of how we operate.
Tyler Kern: Excellent stuff. The next one is a bit of a fast ball for you, Mike. Here’s the question. We know that you have a large retail base of investors, right? And we’ve seen on social media, there’s been some chatter and some conversation about a reverse split. Are you planning a reverse split?
Mike Bond: No. I want to make this pretty clear. We are not contemplating a reverse stock split. A reverse stock split can be used for our purposes, if we were compelled to do so if our share price were to go below $1 and we were running the risk of being delisted by the NASDAQ. None of our shareholders, I think, want to see that come to fruition. But at this point, we’re very confident. We’re building value with this company. We think Vislink is on a path and a trajectory to continue to provide value. We think our share price will stay much above $1 and we continue to hope it will continue to gain ground. And so, at this point, we have no plans to contemplate a reverse stock split.
Mickey Miller: Yes. Just to add to that, it’s just -- it has to go below $1 for more than 30 days. And then after that, you have a six-month cure period and potentially another six months. So it takes a long time. But our view is that where we are today, we think there’s plenty of upside. So, we’re not -- as I’ve said on previous calls, we are not contemplating a reverse split at all.
Tyler Kern: Excellent stuff. Now, Mickey, let me come back over to you. How are you integrating Mobile Viewpoint and its products into your sales channels and organization? Obviously, you talked a little bit about that during the presentation about Mobile Viewpoint, needing a little bit more sales firepower. How are you integrating them into your sales and organization?
Mickey Miller: We’ve done a lot in terms of cross training of both our solutions engineering teams and our sales teams, so that they can both understand each company’s products, so that now they become one product. And as I mentioned, now we’re working on the integration of the software of Mobile Viewpoint to manage all of the products and then interoperability between the products, because at the end of the day, we’re solving solutions. We’re solving problems with our solutions. And customers are looking for how we can help them either grow their revenue, reduce their costs or create something unique and different. And we can do that with a combination of the products. So, that’s one thing. Secondly, on the leadership team, three of the leaders from Mobile Viewpoint are on our senior leadership team. Of course, Michel, who is the Mobile Viewpoint Managing Director; Charlotte, who runs our marketing now; and JD, who runs our EMEA sales. So, the team has been phenomenal and it’s working together with the traditional Vislink team. So, we see ourselves as one Vislink team at this point.
Tyler Kern: Excellent. Excellent stuff. We also have a great question here from Craig from the audience. And again, remember to continue to submit your questions, if you have questions for Mickey or for Mike, you can do that there in the chat. In fact, you may even get a little bit of Vislink swag if we answer your question here on the broadcast. So, make sure to keep those questions rolling in. Craig says, congrats on another awesome quarter.
Mickey Miller: Thanks, Craig.
Mike Bond: Thanks, Craig.
Tyler Kern: Thanks, Craig. We appreciate you. But he asks any other acquisitions that you can speak of or plans to acquire more companies?
Mickey Miller: Great question. As you know, we did the MVP acquisition last August. We have been out very aggressively looking for other acquisitions. Hard to top MVP. Like I said, it hit on all cylinders in terms of what it provided us it was cash flow positive and profitable and had a great team, great technology. We’re still looking. We’re scouring all ends of the earth to find interesting potential acquisition targets and opportunities, and we continue to do so. So, that’s -- it’s going to be a big part of our growth strategy, both from an inorganic point of view, and it’s going to be -- we think something will take up a lot of our time in the near future.
Tyler Kern: Excellent stuff. Excellent stuff. So, let’s see here. One of the other major questions that we’re getting quite a bit of is about the global supply chain, right? It has been a huge topic of conversation, probably something that the average person wasn’t discussing at all two years ago, and now it’s worked its way into some pretty common lexicon as everyone is talking about, shipping delays and things of that nature. What difficulties are you experiencing regarding the supply chain right now?
Mickey Miller: Yes. I think, I’ve been in this business for a long time. I’ve seen a lot of supply chains and challenges in supply chains. We’ve never seen anything like this before. And it all comes down, you could have all the components for your solution, but if you’re missing one component, you’re in trouble. And so we’ve had suppliers at the last minute, one of their most valued suppliers, this is a component or it’s a counterfeit component. There’s just a lot of irregularities that are happening in the supply chains globally for a variety of reasons, particularly around semiconductors and capacity for semiconductors. So, as Mike said earlier -- in the earlier comment, we made a strategic investment. We’ve invested cash to buy inventory for those key components that we know are or may be in limited supply to make sure that we have those on the shelf. Because if we don’t have that one component, then we miss not only selling that product, but all the ancillary equipment that goes with that product. So it’s very important for us to have the key semiconductor components that allows us to complete a solution to send to our customers.
Mike Bond: And just to add to that, we stand here kind of at the very end of our first quarter for this year. And we’re still counting up what we shipped out the door yesterday in three locations around the world. But interestingly, as Mickey said, we felt the effects of those headwinds. I mean, it did impact our ability to get some product out the door this quarter. Now, we believe that we’re going to be in a far better shape than we were last quarter -- last -- first quarter of last year when we were coming out of the pandemic. But, we do feel a significant impact from headwinds from the supply chain issue.
Tyler Kern: Another question that we’re getting is about shows and exhibits and that sort of thing. Any upcoming shows or exhibits that you’re looking forward to as it relates to being able to show off products and that sort of thing?
Mickey Miller: Yes, absolutely, we’re going to be at NAB, which is the largest broadcast show in the world that will be at the end of April in Las Vegas. In 2019, it had over 100,000 people. So, it’s a very large show and a key driver. We’ll have all our new products in our booth for demonstration -- we’ll have our VARs there, our value-added resellers there to receive training on a lot of the new products. So, we’re very excited about that. And then following on to that, we have a whole host of both, military government shows, AppsCon, [ph] among others. And then in September, we have IBC, which is the second largest media show, which is in the Netherlands. So, we have a very busy season around these shows. And for us, it’s a chance for people to see the products live, feel and touch them and get to know them.
Tyler Kern: Excellent stuff. Yes, we love a good trade show. We love those opportunities to get together as an industry and really see what’s new and what’s exciting. So, NAB is certainly going to be a fun time and fun to get the whole group back together in Las Vegas, a fun time most definitely. So, one of the last slides that you had there were growth opportunities and where you see this thing going. But Mickey, one of the other questions we’re getting is you see some of the biggest opportunities moving forward? I know we talked a little bit about it during the presentation, but I just wanted to give you an opportunity to share more about maybe where you see things going here in the future.
Mickey Miller: Yes. As I said, on the sports and entertainment side, we think as more countries come out of COVID, there will be opportunities as well as the opportunity goes below the Tier 1 events where we’re super strong into those Tier 2 and Tier 3 events where you can leverage bonded cellular coupled with our AI capability. What I would say for the long term, what we see around first responder, military and government, the surveillance and reconnaissance capability. We’re involved in some interesting programs right now that are in the early stages but have come to fruition, are pretty interesting and exciting for our investors and for our customers. So, the combination of Mobile Viewpoint and what they worked on AI for close to four years. That combination with what we’ve been doing is a pretty powerful solution to bring that video/data back from the field to make decisions ahead of time and proactively.
Tyler Kern: Excellent, excellent stuff. So, one of the other questions is just about new products, obviously. And we covered a little bit of that. But, what are you most excited about? Well, tell us a little bit more about the new products from the past year and what excites you about those?
Mickey Miller: Yes. So I think -- I look at it in a couple of ways. We have -- we introduced a Quantum receiver, which was basically an upgrade to our previous receiver that was over 10 years old. So, as you would expect with the new product, a lot of interest, it was all IP-based. The broadcast world is going to IP finally. And so, there is certainly a lot of energy around that. The AeroLink, which I announced in May -- or in March at the HELI show. That is the first combined mesh 5G and COFDM proprietary solution in the world. And so militaries and first responders around the world are really excited about having that as part of their solution. So, that’s what I would say just new introductions replacing existing products. So, it’s a low-risk play for us because we have a product that we know it’s replacing, so we know what the demand likely will be for that. But kind of the exciting upside is around the AI products. The vPilot, which is our studio-based production solution as well as our IQ Sports Producer, which is effectively taking a multi-camera, 4K capability -- actually in one box, you have four 4K lenses and cameras, and it’s all combined to create a solution. The AI understands the sport that you’re following, whether it’s soccer, whether it’s baseball, basketball, whatever it is, understands the rules, the game, follows the ball and allows you to basically produce it at a fraction of the cost. So, we’re doing trials of that today, and we’ll be able to announce some pretty big trials that we’ll have completed by next earnings call. But, we think that product could have a lot of upside. When you think of what’s happening in the world with NFTs with NILs. The ability to take that -- imagine you’re at a sporting event, the second you leave, you’re going to see either 3-second highlight film of an individual of a certain team immediately, and you could sell that NFT, mint NFT and sell it right up to the game. There’s a lot of excitement and possibility behind. It’s still early game, early stages, but our team is getting heavy into the blockchain to understand how we can participate in that. And we think it might be very interesting.
Tyler Kern: Look, if I can understand the rules of football. It’s already way ahead of most of the referees on the field. We’re good. We’re good there. So, Pablo asked, aside from the AI video production solutions aspect, what other products do you see high growth opportunities for? It’s a great question, Pablo. Thank you, again.
Mickey Miller: Yes. Thanks, Paolo. It remains to be seen, but we think this -- the AI-driven capability, not only in the sports side that I just talked about, but on the first responder military side. As you can imagine, think about today, when you’re a security, a typical security, you see these cameras that you can barely see the images or traditional PTZ cameras 30 frames per second. Now you put a 60 frame per second 4K camera on there. And then instead of walking back and you have four people in front of screens that are trying to find out what’s going on, you have a machine that’s much more reliable to be able to really ascertain what’s happening, who’s there, what they’re doing and then take resources in the field to go deal with that issue I think provides a tremendous opportunity for us.
Mike Bond: Yes. And the world is exploding in video content and video capture. The issue is what do you do with it? So if you have that AI capability behind the collection of that data, that video, you can tag things, you can identify things, you can monetize things much more usefully, much quicker in a much more efficient way in terms of utilizing all that video. Otherwise, it’s just -- it’s a massive data you can’t deal with.
Tyler Kern: Well, speaking of AI, obviously, this is something that transcends really every industry that you work in and integrate with, whether it’s news or sports or even military, right? And Mickey, one of the things we wanted to do was really illustrate the power of these capabilities here today. Do you want to show us a little bit? I’m really excited about this.
Mickey Miller: Yes. At Vislink, we eat our own dog food. So this was produced by our pilot. I want to introduce Michel Bais. Michel was the leader of Mobile Viewpoint, created Mobile Viewpoint and is still leading that effort in driving innovation across Vislink. So, I want to introduce Michel and let him introduce vPilot.
Michel Bais: Yes. Today, you saw vPilot in actually making. So we’re using AI technology to recognize people in the studio, actually to find their head and automatically control robotic PTZ cameras to make the right shots and integrate on combination audio triggers, we also vary. And I think we hope you enjoyed it, and this is actually what we offer with our AI technology. And it’s one of the first things. We’re working on much more, as Mickey already explained during the conference.
Mickey Miller: Yes. So, it basically looks at your voice. It’s able to identify the bodies, who’s talking, adjust for heights, thank God. So, it’s incredible. But, this is just a subset of the AI capability we have. There’s a lot more to this that could be used in a lot of different applications for our customers.
Michel Bais: Thank you.
Mickey Miller: Thanks, Michel. So, we’d like to end it there. We thank you for attending. We thank you for supporting Vislink. Please give us feedback. Do you like this format? We want to do this format more, but if you want us to go back to the old one, we’ll do that. I just want to underscore, we are very optimistic about the possibilities for this company. There’s obviously challenges. We had challenges with COVID. And now, we have challenges with the supply chain. But I can guarantee, all Vislink employees throughout the world are 100% focused on driving value for our customers, which in turn will drive value for our investors. So, thank you for being a Vislink investor. This is your company. We are working for you, and we’re really excited about what we have to offer in the future. So, thanks for joining today.